Operator: Good afternoon. This is the Call Conference operator. Welcome and thank you for joining the Campari Group Results Presentation for year ended 31st December 2021. As a reminder, all participants are in listen-only mode. After the presentation, there will be an opportunity to ask questions. Should anyone need assistance during the conference call,  At this time, I would like to turn the conference over to Mr. Bob Kunze-Concewitz CEO of the Campari Group. Please go ahead, sir.
Bob Kunze-Concewitz: Thank you, very much, and good afternoon, and welcome to our call, to all of you. If you follow me to Page number 3, I'll kick off the overall business performance. As you can see, 2021 was strong overall performance with clear double-digit growth rates across all key financial indicators. Net sales crossed a €2 billion mark they came in at €2 billion, 172.7 million representing and 25.6% organic growth rate. EBITDA came in -- adjusted EBITDA in at €445.2 million, which represents a growth of €42.3%.  Now, the double-digit organic sales growth was driven by continued strong and very healthy brand momentum with overall increased consumption as well as penetration and consumer recruitment versus the pre -pandemic year. Our strong EBIT organic growth as well as the margin expansion in fiscal year '21 was driven by gross margin recovery, closing half of the margin gap experienced in 2020 as expected, as well as the tanks through operating leverage. In Q4 of 2021, we had very strong top line performance in this same  despite logistics constraints. Whilst EBIT on the other hand, reflected the enhanced A&P investments, which we chose to make in peak season, as well as the beginning of intensified cost inflation. The year was characterized by very strong cash generation, up 55.7% on recurring free cash flow year-on-year, leading to significant deleverage.  Effectively, our net debt-to-EBITDA adjusted ratio is down from 2.8 at the end of 2020, to the current level of 1.6. On the back of these very strong results, we're proposing full-year dividend of €0.06 per share, up 9.1% versus last year. Moving on to Chart Number 5, where you can see really very strong momentum across all regions and brand clusters. And importantly, I'd like to underline this, this continued in Q4, despite the COVID, fourth wave disruption at year-end, which impacted the on-premise particularly. And at the same time, we faced quite a bit of logistics headwinds.  Moving on to Page number 6, you can see that what is really important is that cocktail culture has penetrated home and home mixology is here to stay. If you look at it on a two-year stack perspective, clearly, we're way ahead of where we were pre -pandemic. And depending on the market we're either slightly ahead or slightly below, where we were in 2020. So, this bodes quite well for us in the future. Moving on to Page number 7. The Americas, our largest region up a very strong 23%, our largest market, the U.S. was up 18.9% versus 2020 and 22.8% versus 19. So, versus the pre -pandemic benchmark with solid growth across all of our core brands with quite a positive performance in Q4. In Q4, we were up 6.8% in the U.S. this on the back of a very strong pump base of plus 20.2% the previous year. We have -- in the U.S. we've benefited from on-premise reopening, as well as the sustained consumption in the on-premise. The off-premise, sorry. Clearly, key drivers here are the Espolòn brand, one on an uphill oil which all registered double digit growth rate is quite strong. While Turkey came in with its high expressions outperforming, Campari grew by single-digit and SKYY was flattish on the full-year.  The overall sales performance was up 22.8%, as I said earlier, versus '19 and this is again strong to -- really momentum across the whole portfolio of brand. Moving onto Canada after the double-digit as well for 49% strong overall growth. Clearly, again, here, the heavy hitters for that market, Forty Creek Appleton Estate, , SKYY Vodka, and Espolòn, Jamaica was up quite a strong 28%. A very nice, continued recovery in the on-premise, driven by both the domestic trade as well as harboring international tourism. A strong performance here was driven by Wray&Nephew, Overproof, Campari, Appleton Estate, and Magnum Tonic.  The rest of the regions were up 44.1% with double-digit growth across all of them, including Brazil, Mexico, and Argentina, where we're seeing improved brand momentum which to be fair also, it's magnified by an easy comp base. Moving on to SEMEA, our second largest region up here to a very strong 46.7%. The largest market, Italy, was up 46.4% versus '20 and 12.8% versus '19. Clearly, we're continuing to see revenge conviviality in the on-premise and an overall increase frequency of consumption across channels. Our core operatives were strong, Aperol was up 46.7% versus '20 and 24.4% versus '19. Campari similarly up 39.2% versus '20, and 23.9% versus '19. Our single-serve aperitifs are also doing very, very well, and that's quite important for that geography. The relaunch of Campari Soda continues to be very positive.  The brand is up strong double-digits, 45.5% versus '20 and 22.3% versus '19. And Crodino as well grew low double-digits versus '20 and partially recovered versus '19. Q4 was particularly strong, we were up 60% on the back also of a favorable comp base as to the U.S. was shut most of the time in Q4 '20. Moving on to France, France is up 22.1%. Again, very positive underlying trends with growth driven by the heavy hitters in that market.  Campari and . The rest of the region was up a very strong 64.4% with positive performance across all markets, thanks to the on-premise recovery, combined with an easy comp base, particularly Greece, Spain, where we've seen a beginning of a return of the tourism trade and very good performances in South Africa and in Nigeria.  Global travel retail was up 70.2% with an acceleration in Q4, as the mobility started to increase and people started to travel across major markets. However, this channel continues to remain down versus 2019. Moving on to our third largest region, North, Central, and Eastern Europe continued very strong performance up 18.6%. We continue to outperform the industry across all our markets. Germany, the largest component of 10.7% in this despite having a very tough comp base, you'll recall that Germany, which is mostly an off-premise market, was up by 8.6% in 20.  continues to be the apparel brand up 16%.  And this obviously doesn't -- that number doesn't incorporate the Aperol Spritz ready-to-enjoy which has been launched separately through a great success in net market. Campari grew as well. Crodino, our non-alcoholic ready-to-drink is up double-digit and it's starting to become a meaningful business. Strong momentum in Q4 up double-digit, 12.4%. And this notwithstanding -- and notwithstanding the restrictive measures which were implemented in the key month of December. Our off-premise sell-out data in Germany remains very solid, with our subsidiary outperforming the market at twice the rates. The UK continues very, very strong, up 39.1%, key drivers Aperol, Wray&Nephew Overproof, Campari and Magnum Tonic.  We have also clearly a very good momentum in the on-premise channel. Russia also gave us a good satisfaction, up 25% very positive performance, with double-digit growth in the key Q4 versus both 2020 and 2019. Strong double-digit growth of Aperol, Mondoro and Campari. The rest of the region also grew double-digit 19.4% with the aperitifs particularly Aperol being a key driver. Last but not least, an area where we've been investing consistently in capabilities route-to-market and A&P for the past few years, APAC up 22.9%. Australia unfortunately was flattish versus 2020.  This is both on the one hand their reflection of a very tough comp base. We were up 20.2% previous year. But at the same time, Q4 was a slowdown, both due to the comp base but also to very, very poor weather and that's a high seasonality moment for Australia. And with the high weather and there aren't many barbecues or people partying in beaches. At the same time, unfortunately, this country was -- this market was impacted by Transocean shipments delays and constraints. If we look at the rest of the region though, and this is were clearly, we're investing significantly, we're up 109.4%, triple-digit growth in all key markets. Thanks to our enhanced investments across our leavers. China was up a 126.4% driven by X-Rated, SKYY Vodka and Aperol. South Korea driven by X-Rated and High-End, Wild Turkey offerings and Japan grew low single-digits over the year. This market was impacted clearly by strong restrictions on the key on-premise market. Moving on to Chart Number 12, I think we're very proud and very happy to communicate that after eight years as the runner up, the Negroni is finally the number one cocktail in premium bars. We are also very pleased to say that Aperol Spritz actually moved up to rank number 6 from 11 last year.  So, this adds up to two proprietary cocktails in the top ten. However, if we add the key Negroni variants, such Boulevardier and Americano, which ranking at 12 and 16, you will see that Campari has one out four of the top 16 cocktails as proprietary cocktails. And I think that is quite an achievement and augurs very well for future years. Clearly all of our key brands are very well skewed against all the other top cocktails with the Old-fashioned, Martini, Margarita and so on and so forth. And at the same our brands continue to gather many important accolades, such as those from the Drinks International Brands Report 2022, where you see across the portfolio doing very, very well. Moving on to Aperol.  Aperol, our largest brand, 20% percent of group sales growing at 32.8%. Clearly, with the reopening of the on-premise channel in most markets will have renewed consumer recruitment and coupled with the sustained home consumption that is clearly driving increased penetration. Core established markets such as the activity the U.S, France, U.K, Russia, Switzerland and Belgium, Austria continues to grow by strong double-digit numbers. Spain grew to triple-digits and newer markets such as China and Mexico as well and we've had to return to nice double-digit growth rates in South America.  Clearly, Q4 was also very strong up 45.8%, boosted by deseasonalization activities and particularly the presence of the brand in skiing resorts. Versus 2019, we're up 32.2%, so it's really an incredible momentum continuing on this brand. And if you see on Page number 15, clearly, we're back in major activation mode. And at the same time, we continue to see that some VIP afficionados of the brand continue to run their homage to it. And we'd like to thank Mr. Beckham for actually posting -- voluntarily posting, I might underline, three or four great posts last week enjoying Aperol Spritz is in a French premium skiing resort.  Moving on to Campari on Page number 16, second largest brand at 10% growing. Also, very healthy 24. 1% solid growth across all our major markets. And here clearly, we're benefiting from positive home mixology trends, as well as positive on-premise momentum. I mean, out of the top 16 cocktails in the world, three of them are Campari based, and this is clearly testimony for the strong brand-building, which we've been putting behind the brands in the past 10 years or so. The brand -- the liquid is very versatile. And in addition to the proprietary cocktails, clearly one Hero cocktail which is emerging spontaneously from consumers and the bar trade across markets as the comparative Spritz, which is becoming very meaningful.  We're also very proud to say that the Cantalino our brand house here in Milan, 2 years after we bought it and relaunched it, has entered into the world's 50 best bars that right number 27 and is still something to be proud of. It is something we will leverage in the brand buildings outside a more international scale going forward. Our Kentucky bourbon, Wild Turkey, doing very nicely, up 10.9%. Positive growth driven by the core U.S. market, as well as high-end offerings across market. Unfortunately, though this growth was partly mitigated by a decline in core Australia interest and where we were severely impacted by logistics disruptions in Q4. In the U.S. the brand is continuing to preimmunize, the franchise grew by 9.8%, despite the deceleration in Q4 due to a tough comp base and the previous year we were up 36.3%.  Importantly, though, Wild Turkey Longbranch and the high-end Russell’s Reserve continue to grow at a very strong double-digit growth rate. American honey also grew double-digit up 10.6% and compared versus to the pre -pandemic era overall, the franchise was up 16.1%. Moving on to , which gives us a lot of satisfaction up 43.2%. The U.S. is driving quite a bit of this, up 44.6% versus '20, 24.5% versus '19. Again, here at the same trends with homemade cocktail consumption going up and the success of the Grand Margarita across both channels clearly fueling growth.  Doing very nice thing, France and Canada and from a lower base also in the other markets such as Italy and Germany. SKYY overall up 8.2% with a very positive performance driven in the international markets, in particular South Africa, which was up triple-digits, Argentina, China, Canada, and Mexico. These fairly helped compensate softness in the U.S. where shipments were slightly negated by 0.7%. Now this franchise is in the mix of its relaunched behind a new range packaging and liquid and if we start digging into the internals of the brand funnel, we can see that we're starting to recruit again, younger consumers into the franchise.  So, I think this will be positive and will reflect itself in years to come. Our Jamaican rum 6% of the total up 22.7%. Again, here at this across core markets, as well as seating markets and what's very positive is that we're really preimmunizing the range with both limited editions, as well as those which are part of the normal range. And again, this is having a very positive impact both on, let's say Net sales marginality, as well as a halo effect for the brand. Espolòn up 47.5% fairly since we relaunched in from closing it, this has been an incredible success story.  We're one of the top 100% on agave-based brands in the U.S. and you recall that at the beginning of this was a €36 million acquisition of a distillery where we only had 2,000 cases and today, we're at the 1 million cases benchmark the U.S. and continuing to grow very, very strongly. We're expanding the brand and we'll probably be able to accelerate the expansion in the second half of this year when more capacity comes on stream at the distillery.  Moving on to the rest of the portfolio, you'll see that all the  plans are growing double-digit versus the two-year stack. The only one is -- and also versus '20, the only one which is in is Forty Creek. Again, Forty Creek is outperforming the Canadian whiskey market and its home market. Our local brands also doing very nicely. Importantly, Campari Soda and Crodino are growing versus previous year. And we'll start talking more and more of our Aperol Spritz, which we've introduced in I think 9 or 10 markets.' The best markets than those actually requiring it, and it's very successful and clearly these are all additional volumes to the mother brand.  Wild Turkey RTD was impacted, and only grew 1.6% versus last year. And here was impacted both like tough comp base, as well as one-off such as weather and logistics, issues. Magnum is giving us a lot of satisfaction growing very strongly in the core UK as well as Jamaica. And last but not least, X-Rated is doing very well across Asia, but particularly in South Korea, and China. So, this is it so far on the top flying and I'll pass on halfway to Paolo.
Paolo Marchesini: Thank you, Bob. If you follow me to Page 28, we can see in the chart that EBITDA adjusted in 2021 came in at €135 million. If we focus on the organic performance organically EBITDA adjusted was up 42.3% in value, delivering 240 basis points margin accretion versus last year. In organic terms, our gross margin expansion accounted for 140 basis points thanks to favorable sales mix, which was driven by online annual performance of aperitifs, and on the other end, the very strong performance of premium spirits expression.  Additional factor was combined with a suspension of the U.S. import tariffs, as well as a stronger absorption of this production costs on the backlog the higher production volumes of 2021. At worth mentioning also that versus last year, we had an easy comp base year on the volume side. These positive effects were on the other end of more than offset by the increasing goods costs and logistic costs, as well as the  of Espolòn, which in 2021 accounted for 50 basis point dilution due to the high cost of agave with the latter lessons, thanks to the price increase that we introduced on the back end of last year.  Organically A&P increase accounted for 29.1% in value, showing 50 basis point margin dilution. And moreover, reflecting the strong investment behind key brands. The A&P step-up did accelerate in the last quarter of the year as you can see in the chart in Q4, A&P was up in value 53.5% during -- in the quarter at 200 basis point a dilution. SG&A organically in 2021 versus 2020 increased in value by 16.8%, but quite – quite strong growth. But that growth was lower than the top line and that's generating 160 basis point margin accretion. Reflecting on one end, the investments to strength the group capabilities and the business infrastructures, as well as the expected structure cost phasing.  We're visiting mailing scientists and hiring catch up, had some phasing of fighting on what DNL which negatively impacted the last quarter of the year. As you can see in Q4, organically, the SG&A step-up in value accounted for 29.6%, leading to 140 basis points margin dilution. If you look at the performance over the two-year horizon, the organic change in EBITDA versus '19 was up 15% organically, generating 140 basis points dilution still and the cage have to be done, which was mainly driven by the gross margin dilution accounting for 150 basis points due to dilutive effect of the DSC that is growing quite fastly. Recovering half of the margin shortfall that we've experienced in 2020 versus 2019, as expected, as we've guided.  The dilution effect of the A&P was broadly upset by the operational leverage of the SG&A on the back of strong top-line growth. So, we're at 80 basis points dilution in A&P and 80 basis points accretion in SG&A. If I look at the reported change, the -- the overall performance included 30 meter and NFX versus last year 2020, in 2021, EBITDA adjusted grew by 35.2% in value, delivering 190 basis points margin accretion, where the negative perimeter effect of 2.6% accounted for €8.3 million and was neutral on margin and on the other end of the Forex effect was a negative 4.6% in '21, with a negative impact of €14 million in value at 50 basis points in terms of margin. And this was clearly driven by the depreciation of the dollar versus the euro currency.  All right, we move on to the following page. In one page, we have the summary of the segment reporting by region, where you can see that the Americas region, that overall, in terms of size accountable for 42.4% of the group, in terms of vivid, that region was remarkably growing at 44% clip, driving also 710 basis point margin attrition with gross margin expansion of 170 basis points thanks to positive sales mix as an overall for the group, with how the four months of import brands particularly high-margin, but it's like in aperitifs and premiums spirits, which are more than offset the risk side over Espolòn.  A&P was diluted by a 100 basis points, and that was due to the step-up of marketing investments behind global priorities. The SG&A has a percentage of sales that can mean with an equity respect of 240 basis points, it is rose clearly due to the very strong top-line growth of the region which accounted to 23%. If you look at SEMEA, overall, it accounts for 16.4% of the overall profitability and was up 129% percent year-on-year. In 2020, clearly the region was heavily hit by COVID given its strong exposure to the on-trade market, as well as to the  were China, which is recognizing this region. And this year -- last year and going to '22 largely -- finished largely improve its EBIT weight on the overall group profitability, thanks to the very strong profit -- business recovery. The margin improvement is hosting this region quite staggering with the 470-basis point margin accretion driven on one end by gross margin expansion of 70 basis points, where basically the lion's share comes from the margin activation driven by the operatives. But also, to the very strong top line growth. So that in the region accounted for 36% A&P was accretive by a 100 basis points notwithstanding the heavy investment behind the key brands in the region.  And particularly the investments that we've finalized on the on-premise -- on the on-premise channel. The SG&A expenses were as well accredited by 260 y basis points like given the robust top line growth. Northern and Central Eastern Europe, which overall accounts for 37.7% of the overall group was up in terms of EBITDA by 26% and also, in this region will deliver 210 basis points margin accretion with gross margin expansion of 170 basis points, again, driven by a positive sales mix. A&P was slightly dilutive by 50 basis points due to the accelerating investments behind the key brands, particularly the aperitif portfolio.  Whilst the SG&A on the contrary were accretive by 90 basis points taken by significantly efficiencies on the back of strong top-line growth of the region. If we move onto , it's still profit-wise flight, the timing, the overall scheme of things we see 29% of the overall profitability we had in value decline of 13% of EBIT versus last year and as well, a dilution of 370 basis points, which was totally driven by the dilutive effect of the A&P on the region profit and loss due to the accelerating investment behind key brands in some strategic Asian markets, gross profit was clearly attributable also in these regions, twice the SG&A where, notwithstanding the significant investment in the region were in line and neutral on -- in line with sales and margin.  If we move on to the following page, we show operating adjustments accounting for €34.3 million, mainly attributable to restructuring initiatives, write-offs on minor brands and non-recurring last mile long-term incentive schemes, only partly mitigated by the positive adjustment resulting from the positive closure of a tax dispute in Brazil and one-off refund from our insurers. Total financial charges came in at €17.1 million or showing a reduction of €21.7 million versus a year ago. And now, if we exclude the exchange gains, the financial expenses accounted for €25 million versus €35 million of last year, showing a decrease of €9.8 million despite a slightly higher level of average debt in '21 versus 2020. Actually, this is driven by the compression of the average cost of net debt that now is 2.5%, notwithstanding the significant negative carry with quite meaningful improvements versus a year ago of 100 basis points, and this is due to the lower average of coupon for our long-term debt, following the liability management initiatives that we've taken in 2020.  On the exchange, still on the financial income, we report exchange gains of €7.9 million this year versus a loss of €4.1 million over a year-ago. Financial adjustments accounted for €4.7 million. And this is the interest component positive of the benefit from the positive outcome of the fiscal  in Brazil. Profit before tax adjusted, came in at €415 million, up to 48.9% versus year ago. The total taxation accounted for €105.6 million on a reported basis, with recurring income tax equal to €109 million.  Therefore, group net profit adjusted came in at €307.9 million up €52.4 million versus a year ago. The recurring tax rate came in at 26.3% improving compared versus a year ago when where it came in at 27.9%, and this is due to favorable country mix. The third tax related to amortization of goodwill and brands amounted to €15 million in value. And excluding the impact of non-cash component led to defer taxes, the group recurring cash tax rates to 22.7%, slightly down versus a year ago, 33.2% in 2020.  Clearly, the improvement was mainly attributable to the tax benefit generic about a step-up value of brands and goodwill in any trade that we have already anticipated in the previous calls, the group net -- net topic report, coming in at €284 million up 51%. And the basic earnings per share adjusted was up 53.2%, at the €0.67 per share. Looking at the free cash flow, again, a very solid delivery.  I think it's the highest ever with recurrent free cash flow of €407.5 million up €145.8 million 55.7% up in value versus a year ago, and this is €145 million increase in free cash flow is driven by €115 million increasing EBITDA due to very strong business momentum. Taxes paid remained the program change, was slightly the action of 10% million euros, very solid operating working capital management with a minor increase of €5 million. And notwithstanding the very strong business moment worthwhile noting the additional further improvement of 5million comes on top of a €43.54 of operating working capital compression in 2020.  Then we have minor effects from efficient accounting and Argentina. And then on other non-cash items, so we have the €64.7 million primarily related to our equivalent provision STIs and the MTIs and including the effects of the incentives to catch up. Lower financial charges by €9.6 million, maintenance capex, €81.9 million up to €17.3 million versus last year. Extraordinary capex in 2021 accounted for €53.8 million. And then the ratio of recurrent free cash flow to EBITDA that it is further grow of income 65.4% of last year in 2021, it came in at 79.1%. So very, very strong three years in a row of increasing recurring share because on EBITDA.  Page 34, where the page of historical and projected and inspected context in -- in 2021, capex investments counted €435.7 million, including ESG link capex of about €10 million, the breakdown of those investments is €81.9 million on maintenance capex. And then €53 million extraordinary capex. If we look at the projected capex for next year, we're expecting to invest €170 million with about 60% investments on the maintenance capex strong and 40% investment profession capacity expansion projects is unique projects,  and housing. We then move to Page 35. We have the picture at all of the operating working capital changes.  Operating working capital in 2021 increased by €22.6 million, with organically the decrease accounted for €5 million as we saw before. With -- within these €5 million decreases in operating -- in organic operating working capital decrease, we highlight an increase in inventory of €60 million with aging liquid increase of €23.8 million to support the five-star development of The GlenGrant, our Jamaican rums and Espolòn. On the other end, receivables were flat, and the payables increased by €65.4 million, driven by the business growth. Perimeter is timing wise forex on the backlog, on the movement of depreciation of the dollar had an uplift impact on uplift operating working capital of €25 million.  As a percentage of net sales, operating working capital came in at 29.5%, down 540 basis points versus a year ago and down 810 basis points versus two years ago. With regards to net financial position, year-end, the in-depth netters to that €830.9 million down by €272 million versus a year ago thanks to the quite stronger free cash flow generation. All €352 million, or 307 on a current basis. Dividend as being paid regularly was €1.6 million cash flow outlay, what is important to highlight is that net debt to be EBITDA ratio came down in a meaningful manner from 2.8 times to 1.6 times. I'm done with the numbers I would hand back to Bob for his cost on sustainability and conclusion.
Bob Kunze-Concewitz: Thank you, Paolo. Yeah, I'm a very happy to share the progress we're making in the sustainability area. Starting with people, which together with our brands are our most important assets. And as an asset, we invest in our people in terms of commitments and focus, we're very committed on Diversity, Equity, and Inclusion. We're fostering this in the workplace with a multitude of multi-functional governance projects at all organizational levels. We're monitoring the progress through an internally developed Campari Group DEI index, which is both on the people surveys, which we do as well as the GRI -based KPIs. On the running front we're significant in-fleet dialing up.  What we're able to offer our people. We've developed a brand-new digitally ecosystem which allows anytime, anywhere learning experiences with regards to rewarding and engagement, which is one of our strengths. Clearly, we're very happy to communicate that 51.6% Campari have adhered to the employee stock ownership plan. And this is quite impressive figure for the long term, for the new plan and benchmark incredibly favorably versus other case studies. Moving onto responsible practices, we're continuing to remain very committed on responsible drinking.  We have at Adhoc two years of training across the global marketing community with a deep dive clearly on digital communication. Significant number of educational sessions on responsible drinking for Camparistas, as well as with key stakeholders outside and particularly the bartender’s community. At the same time, we'll continue to invest in building our novel call offerings across the world. We're very proud on our achievements in the environment. While first of all, I would like to underline the fact that we're committing to net-zero emissions by 2050. Now if we look at the various elements on energy, we've already hit this year the 100% renewable electricity pledge for our European production sites that has enabled us to reduce significantly our admissions per liter of leverage produced, which were actually down by 22%.  Also, on water we reached last year, our 2025 targets that we're revising these. And lastly also on waste management, we remain committed to zero-waste  by 2025 and have very good process -- progress on a per liter produced basis. Last but not least in terms of community involvement, we're clearly continue to contribute to the fight against the pandemic by supporting on business partners, consumers, as well as hospitals in our main markets. And at the same time, we continue to be very active in our communities both in terms of our sponsorships of involvement in the world of art as well as through our foundations which promote assistance training, education, charity, in favor not only , but also our local communities. And this takes me to our conclusion and outlook.  Now, clearly 2021 was a very successful year for us. And this is due to the very healthy brand momentum, which is also benefiting from revenge conviviality in home mixology. This is leading to increase consumption and penetration across all of our brands and bodes very positively for the future. Looking at 2022, we remain very confident -- highly confident in continued strong business momentum. And we actually see accelerate the consumer recruitment across our key brands. And we will continue to fully leverage our new consumption habits across both the on-premise and the off-premise channels. So very good momentum there. Regarding profitability though, we will continue to leverage price increase opportunities and really focus on mitigating cost headwinds.  Having said that, there are temporary, and we think it's more a question of this year, input costs pressures which are expected to intensify, particularly in the first half of this year. And it mostly considers packaging raw materials, including agave, which isn't decreasing the way we expected to, as well as logistics costs. And this leaves us to postpone our gross margin accretion, which we've highlighted previously at 70 bits through the following year. But on the other hand, you know us very well.  We're quite a long-term focused organization and we will continue to build our brands from our best of our abilities and maintain a very competitive level of investments behind our brands, as well as our capabilities in order to be best positioned, continue to fully benefit from the gradual phase-out of the pandemic-induced challenges and to really benefit from the trends, which -- consumer trends which have come up and which we will benefit from in mid to long term. This is it in terms of 2021, you probably have tons of questions, so we're happy to take them.
Operator: Thank you, this is the chorus call conference Operator. We will now begin the question-and-answer session.  at this time. The first question is from Simon Hales with Citi, please go ahead.
Simon Hales: Thank you. Good afternoon, folks, good afternoon . A couple of questions to me from Greece. Firstly, I want to -- could you just talk a little bit more about the moving parts in terms of the outlook for the flat EBIT margins for 2022. Specifically, how big is the COGS per case inflation that you are now facing in the current fiscal year? And how long do you think those pressures on gross margins are going to last? Is it really just a 2022 issue and then we should see some sharp recovery in 2023 or do you think this could weigh into some of those outer years?  That's the first question. And then secondly, with regards to the pricing outlook in 2022, clearly you are going to push harder on pricing, and I imagine the new management initiatives generally in the year, but what scale of price increases could we expect. What have you been putting through in '20 in the second half of 2021 into 2022? How big of an offset could we see to help mitigate some of those cost pressures?
Paolo Marchesini: Thank you, Simon, for the questions and I'll try to walk you through a little bit more the rationale of the guidance that we've given. First and foremost is the question whether we feel, clearly nobody has a crystal ball that the input cost pressure is temporary or not. We definitely we believe is a temporary factor and we believe in 2023 onwards, the pressure will leave, actually even looking at 2022, we believe that the first half of the year might be worse than the second half, this is what we're seeing in the market. So, if it is temporary or not, if it is temporary, clearly vis -a - vis in our last guidance, the input cost pressure has further intensified. And so basically, we're now guiding towards additional €15 million to €20 million cost of good  due to inflation.  That is an about knowing value in other 2%. So overall, if you may remember, last time we reached out, we've had guided the market for the 5% in value increase of cost than our in the region of 7%. So, this is a cost and volumes clearly, all being equal. 7% means about €60 million of cost increase that is primarily coming from packaging materials. I have to say of that overall increase 50% of it is coming from packaging materials, but it's already glass that is negatively heated by the NFC costs rise. So, on glass, so we're seeing across all suppliers that double-digit growth of the cost.  Then the second component is within the ingredients, we have another 25% of, €60 million increase, and it's clearly coming from alcohol and sugar. What again, we're seeing double-digit growth in good in value, increase of cost. And then you have remained at 25% that is coming from logistics primarily. It is, I would say high single digit and other costs. So, the guidance that we're giving now is fully factoring in the -- the agave factor that as Bob just said, we hope it could be more benign, but given the surge of the rise of the tequila category in the U.S. market is not coming down as fast as we -- as we believed.  Clearly there are mitigation factors in top line, the biggest one is and will always be the sage mix. So, we're quite confident on the core trajectory of our global priority brands all of them non-excluded probably Skyy is more flattish, but the other brands are clearly in a very good position. And then price increase, which we've alluded, we'll be more aggressive this year on the strong did particularly on specialties and  spirits So brand, so with price sensitivity. And then still looking into the top-line opportunities, we have implemented few years ago and we're reaping the fruits of it, interesting revenue, grow management initiatives in developed markets. And this is clearly putting us in a position of spending less and better on promotions.  It's good to the benefit of our average selling price. If we look at the cost opportunities, because, Dave, you and all the charges not insignificant. We have, first and foremost operational leverage due to , which overall is the company. They account for about 1/3 of the total spending and particularly in production. About 20% of production cost is fixed within A&P 10%, within SG&A 85%, so it's big. And then of course, we're not sleeping, and we've launched productivity initiatives. The few of them just to mention, we've been more aggressive on the project of centralizing procurement of product-related, and non-product related products and services.  Some production efficiencies -- efficiency programs in our '22 plans. And then we've aggressively started the different realization all systems reporting your activities in the industry, port function, finance A&P track. For example, in finance, we're now moving to the central deliverer of reporting and analytics. And that is clearly delivering efficiently. And then the biggest projects for us this year is immigration towards softness put on a platform, that enables us to use artificial intelligence that will lead to higher efficiency and efficacy of the overall supporting functions. So, this is another -- another important project that we have ahead of us, clearly as you mentioned before, in terms of basing this year, it's a little bit unfortunate because we have stronger -- the company increases more securely in each one, as said before, while the positive aspects of the price increase are more secure in each too. We will have two tough quarters in terms of merchandise to manage in the Q1 and Q2. And then we expect an improvement in the second half of the year.
Simon Hales: That's really helpful, Paolo. Can I just come back in terms of some of those pricing and this mitigation actions that you're hoping to take? I know you don't like to comment on will give any top-line guidance on a forward-looking basis, but if I look at where just consensus expectations are at the moment for 2022 looking for 7% organic sales growth for the group. Now, given you're looking for more aggressive pricing, given you talked about more effective and efficient promotional activity, is it possible that you think you could do better than what the market currently expects at the moment or is it too early to say?
Paolo Marchesini: I think it's too early to say, but we all hope that we'll be in a position of delivering better results that store in on one is a very small quarter. And when it's -- the effect solver, what's binding(ph) in the markets and were, and also you have to take into consideration that said that  certain extent limited by logistic constraints that you know, in the backend of the year.  And you know, minor effect I would say in everything Asian markets amongst selected SKUs, particularly the 3PL market, is, is not repeating -- improving at all at the moment. So that's another variable that we need to put into our equation. So, in essence, yes, it's too early to call. But on pricing, we're definitely moving quite aggressively on that area.
Bob Kunze-Concewitz: Having said that we have very good momentum behind our brands. I mean, consumer demand is very solid.
Paolo Marchesini: And I will say also that the trade is ready to accept the fact that across-the-board whole categories whole players are taking price. So, it's an easier discussion if you will, in comparison to prior years.
Simon Hales: Understood. Thanks very much.
Operator: The next question is from Andrea Pistacchi with Bank of America, please go ahead.
Andrea Pistacchi: Yes. Hi. Hi Bob. Hi Paolo. I have three, please. The first one is a bit of an outlook for Europe. We talk a lot about the new normal in the U.S. and how do you see the new normal in Europe, Bob? Is the higher base with 15%, 20% above 2019 levels, do you think this is really a new base upon which to grow and how do you see the growth algorithm going forward in places like Italy, Germany? Is it probably a little bit better than it was pre -pandemic?  Then, Paolo, going back to the margins and I know you can't speak for your peers, but some of your peers seem to be a little bit more optimistic on the margin outlook, or at least they were a few weeks ago. Is there anything that could explain why you would be more exposed to some of the cost pressures compared to the peers. And then again, on margins, please, on the AMP, which has been increased significantly 26% over two years, 80 basis points higher than it was in 2019. And you're emphasizing the continued reinvestment behind the brands. So, thinking of 2022 and more medium-term, should we interpret this as of course, you'll reinvest behind your brands, but we'll be AMP to sales ratio continue to trend up maybe?
Bob Kunze-Concewitz: Hi, Andrea. I'll take the first two questions, answering with the last one. We see great opportunities for our brands and frankly, we're using that opportunity to accelerate our growth, and that's where the heightened A&P comes in. Having said that, we've increased quite a bit over the years, and we feel comfortable that the current ratio will enable us to reach very good results in the years to come so we see that's more stable.  Now with regards to the outlook for Europe, what we're seeing in Europe is clearly a stronger penetration of cocktail culture at home, and we think this is here to stay. And at the same time, though, it sooner, the on-premise opens and the climate helps along, revenge, conviviality comes back very, very strongly. So, we feel very good about the overall environment in Europe and particularly of our brands within that environment.
Paolo Marchesini: With regards to the demand in guidance that is quite prudent and cautious as you highlighted, and I cannot comment for competitors, that's not my role. As you look at our guidance, it's prudent as you know, other SPGs companies before without being specific, but you can just read and probably you don't pressure that misalignment also due to the different perspective, our fiscal year is January to December. So, you know I'm not going to have to focus on the 12 months to come to December.
Bob Kunze-Concewitz: I think probably that might explain. But clearly, the growth strategy  cost is there. And we're not the only one in or seeing. If that changes over time, we'll figure it -- we will see. But at the moment we see it's only on total trust policy, what we're seeing.
Andrea Pistacchi: Thanks. And Bob, if I could just follow up on what I said earlier about Italy, Germany. Do you see any growth in these markets? Potentially could it be, I mean, not at least in line with what it was pre -pandemic or slightly more as your -- of course, got more momentum going toward even in the Aperitifs at home occasion?
Bob Kunze-Concewitz: Well, I think. We have very, very good momentum and going, I wouldn't see why we shouldn't be able to achieve mid-single-digit growth in Italy and high single digit growth in Germany, potentially more, but that will depend a lot on what happens from a pandemic standpoint in the openings of the on-premise. Clearly consumer demand is there.
Andrea Pistacchi: Thank you.
Operator: The next question is from Laurence Whyatt with Barclays, please go ahead.
Laurence Whyatt: Morning, Bob and Paolo. Thank you very much for the questions because one for me is regarding your balance sheet is now running extremely strongly and you've had a very good track record in the positive doing acquisitions. I remember you saying over the past few calls that you would be looking at any opportunities that came up. What's stopping you from making an acquisition is that the availability of the assets or the valuation or perhaps fitting into the portfolio.  My second question on Q4 in particularly, how much you think the Omicron impact that other costs increased restrictions or changed consumer behavior. How much do you think not -- was responsible for Q4? And do you have any sense of what Q4 would've been had that not happened? And then finally, you mentioned travel retail at a level for the full year. Do you have an exit level for travel retail during Q4 or perhaps at the end of Q4 versus pre -pandemic levels? Thank you very much.
Bob Kunze-Concewitz: Yeah. What's keeping us to making deals? Frankly, we always look at making the best deals for our investors. We're very active in this area there are many discussions happening. Sometimes one needs to be patient to hit the right, I think cocktails between quality of the asset price and alignment with the seller. Having said that cash is not burning any holes in our pockets, and we believe that we'll have very nice opportunities going forward. As I said, we're quite active on that front, so we'll see when things go through.  Now the impact of Omicron on Q4 is very difficult because we have to go into sector by-market, by-market. Obviously, what we saw as soon as Omicron hit in December, it's been huge slowdown. The first two -- October and November were quite strong and then December outlets were empty. So, is it a  more who knows, but it definitely had an impact on it? With regards to GTR, I need to get back to you. GTR is a little bit less than on a going basis of 2% of our sales. I don't have the -- such minute details on that. We view GTR as a great brand-building channels for us. So, it's -- we're not necessarily chasing the dollars there.
Laurence Whyatt: Understood. Thank you very much.
Operator: The next question is from Edward Mundy with Jefferies. Please go ahead.
Edward Mundy: Afternoon, Bob. Afternoon, Paolo. Three questions from me, please. Congratulations, first of all, on Negroni taking the top spot. Anecdotally, what proportion of your sales do you think is from the Negroni and what proportions from the non-Negroni based Campari drinks? And how does that compare to say, five-years ago? You mentioned that there were three Campari -based drinks in the top 16 and you go in your website, there were dozens of Campari -based drinks, I'd love to understand better how the versatility of Campari is increasing.  The second question is on the notes collection, it strikes me that given your experience and expertise with bitters, is this something you should be able to really leverage? Can you talk a little bit more about the notes collection and what are you doing to really get some scale there? And then the third question is coming back to the whole pricing point. Your brands are very healthy. Aperol and Campari as a product, a very small part of the cocktail. And then you got some great specialty brands where there is good pricing power. Why are you not taking more pricing at this stage, could you just talk around some of the nuances there?
Bob Kunze-Concewitz: Let me kick off with the Negroni. When you're looking at our range of drinks, I think you need to segment them on the type of outlets. Clearly, Negroni is our top seller in the High-End mixology outlets, and there I would expect the Negroni to do probably half our sales. Then if you go into more mainstream or launch-like outlets, you'll start having easier drinks coming in. I mean, take a case in point in Italy, the Campari Spritz is already a quarter of our sales. And we're seeing the Campari Spritz growing very, very rapidly internationally. So, you've got a wide range, but it varies enormously from the type of outlet. Having said that, most of the Americano and Google's ideas are actually variations of the Negroni. So, we have to add a little bit more to that total. Now with regards to the notes collection, I mean, we're coming out with a range of big bottles where you have an  as well as more of a mixer. There are very, very high-quality liquids and these quite a premium price and their focus in the first 3, 4 years. We're owning our focus on high-end mixology outlets and do the right job in building and driving the brand. So, it's not about getting a quick win to boost quarterly numbers, like pushing it into the off-premise. We're not going to do that. We believe in the brand and we're going to build this over time. Clearly regarding to pricing as highlighted earlier on, it is very varied and they are just a stronger push on our picks, which are proprietary brands, as well as selected aged brown spirits. So, we are maximizing it as we speak. So, no fears there, we will not miss any opportunities.
Edward Mundy: Great. Thank you.
Operator: Next question is from Trevor Stirling with Bernstein, please go ahead.
Trevor Stirling: Hi, Bob and Paolo. Three questions on my side as well. Maybe two related questions. If we're looking through to more normalized growth of this new base, Bob, and Paolo, how should we be thinking about SG&A? We've had dilution over the last couple of years, we those had some extremely gross or the last few years. Should we think that as roughly constant as a percentage of sales or continuing to drift down? And the second thing then to on tax. And again, I think excellent exceptional growth rates going on tax came down due to country mix. Is it likely to be stable from here going forward? And final question just a point of clarification Bob, when you say net zero behind 2050, is that across scopes 1, 2 and 3?
Bob Kunze-Concewitz: Yeah, I will take the last one, yes, it is across scopes 1, 2, and 3, no question. It's an important commitment on our part and something we're going to tackle. And then we're working on as we speak to develop an aggressive plan over the years.
Paolo Marchesini: For the other question with regards to the SG&A base versus to project our future expectation. We're not expecting any drifting with the line of percentage of sales, on that boundary potential, this is an opportunity given the very strong top line that we're seeing and, on the tax, the current tax rate, we expect to be pretty stable going forward.
Trevor Stirling: Thank you very much, Bob and Paolo.
Bob Kunze-Concewitz: Thank you, Trevor.
Paolo Marchesini: By Trevor.
Operator: Next question is from Mitch Collett with Deutsche Bank. Please go ahead.
Mitch Collett: Hey Bob, hey Paolo. Given what you said about logistics constraints, and I guess looking at your Slide 6, where I guess if you think about it on a two-year stack sell-out, which I appreciate is on off-trade only, looks like it's maybe lagging sell-in. Can you maybe comment on where your inventories are globally and whether there are any areas where you haven't shipped quite enough from this scope for that to catch up, this year and then my second question is, you talked about accelerated consumer recruitment. Is there any reason why that wouldn't lead to accelerated revenue growth in 2022 and beyond? I guess I'm thinking about that relative to the total target you've achieved across 2020 and 2021. Thanks.
Bob Kunze-Concewitz: Hi Mitch. Thank you for your questions. Yes, I mean, clearly the sell-out data is off-premise and the gap between that and the trend in our shipments is the on-premise. We had very, very strong growth in the on-premise across all our markets. And honestly, with regards to inventories, we're running very, very low in inventories across markets. So, yes, there could be some recovery, but I think the consumer demand is strong, so I'm not -- I don't think we will see meaningful moves in inventory at the trade level.
Paolo Marchesini: Now, the accelerated consumer recruitment means we're going to have more events, we're going to identify our digital efforts and if the environment remains benign, we expect that an acceleration on the top line, having said that the environment is not benign, I mean, we have strong cautionary pressures. We have strong geopolitical pressures. And at this stage we think it's a little bit premature to have an outlook towards the upside. We feel good about the brands. We feel good about the fund. But we have to see what happens. In the external world, how that will impact on psyche, on the consumer.
Mitch Collett: That's helpful. Thank you.
Paolo Marchesini: With regards to  something here with regards to operating working capital, tries to reward we want to expect for next year. Given the fact that we run in our stocks down, both at distributor level, but also within the company and we ended up with an operating working capital that is in an all-time low, our goal is looking at 2022 to have working capital on sales to the level of 2020. So, two years ago, 34.8% versus 29.5% of this year because this very low-level of sockets clearly creating pressure on our supply chain and increases the chances of lending up in auto stock situation, whatever you have issues with CPL or suppliers of all raw materials. So that's something we want to highlight.
Mitch Collett: Thank you.
Operator: Our next question is from Chris Pitcher with Red Burn, please go ahead.
Chris Pitcher: A couple of questions from me. Firstly, could you give us a bit more detail on your capex, which is running at just on rate percent of sales this year, which is certainly high versus your  history. On how much are you expanding production capacity by how long you expect these levels to be maintained because you're spending with double depreciation, which shouldn't  margin pressure. This year, and into next year and then secondly to follow up on the tequila question, how much of Espolon gross margins now falls in the peak, are they below 50% because to justify the 50-basis point drag, it has to be more than just sales mix. And when we look at the golf side, has the cost of production going structurally hard such that you expected to replace networks up as an elevated level, certainly much heard we could report to three years ago? Thank you.
Paolo Marchesini: With regards to capex, a good portion of the extraordinary capex is made to step up our production capacity in plans, where we would produce brands that are on a very fast growth strategy to rename leading the aperitifs. So, we have plans to expand capacity in Italy, in Mexico as well. Then we have also, you know, a project in Jamaica to our two for waste treatment purposes. So, these are -- on top of that, of course, there are investments that are more marketing live, the brand houses typically which are not a very effective marketing tool of the equity of our rights. Clearly also there's one big impact in this year's, which is due to the purchase of an office in the U.K. I mean, with the change in the IFRS and actually and the fact that your whole lease becomes debt that makes a lot of sense to actually start investing in fixed assets. And we found a great location and we're renovating it. So that is something which I think will be a benefit to the group for the long term.
Chris Pitcher: Perhaps on the maintenance capex, which will be running at around a 100 million, which is 40 million above where it was two years ago, but if that's an ongoing maintenance capex numbers, does that drop-off as well as the extra ordinary capex in a couple of years?
Paolo Marchesini: Yeah. You know you have to see it as you know, I have new level say, you cannot be a 100% precise. It will be between, emulate 100, something like this. Then you are asking a question on Espolòn. I'm not -- and that's in  mean on margin dilution. So, we do not disclose profitability by a margin  but I end up but is clearly driving meaningful dilution and are going forward.  STRIA, we believe the agave price will retrench. It will get back to its original position of that is in a key contributor to group gross margin expansion typically the price positioning golf , I particularly on hold Espolòn is quite healthy. And the cost of production is comparable to the cost of production of the Movado brands. You know, that probably sits with the other ingredient. And when the day sorted out it will become another source of gross margin expansion going forward.
Chris Pitcher: Thank you.
Operator: And next question is from Fintan Ryan with JP Morgan. Please go ahead.
Fintan Ryan: Good afternoon  two questions from me please. Firstly, actually following on from that last question regarding sites, can you confirm that --
Bob Kunze-Concewitz: Ryan it's very difficult to hear you because there's some noise in the background.
Fintan Ryan: Can you hear me now?
Paolo Marchesini: Yes.
Fintan Ryan: Sorry about that. So, I was just saying in terms of the agave prices, can you confirm that -- I think you'd expected back in Q3, that the agave prices to come down to I think low-to-mid '20s. Can you confirm that at this point for your view for 2022 the agave prices space with the high twenties price point generally, and then follows -- as well in terms of brand momentum, activity at the Espolon brand overall has done quite well in the market over the last two years. We have seen a step-up in some of the competition from celebrity owned brands and I'm in particularly thinking of the Teramana around the price point where gather is now.  Are you seeing any risk to the Espolòn from franchise? From these Bryan entrants and do you think there's the potential for shakeout of these smaller brands within segments? And also, the Cargo Wabo brand momentum that hasn't been a focus within the sort of super-premium segment. But what are you doing to give yourself scale within the upper end of that tequila markets?
Bob Kunze-Concewitz: Espolòn is clearly our priority. And when it comes to your constraints in agave availability, we proved the addressable on over our capital. The brand, it's really on higher across them has huge opportunity. What we're currently going through is capacity expansion, which over time will triple the expansion. And that will enable the brand to actually grow at a faster rate versus the rate at which it's kept at currently. So, we feel very, very confident about the brand, and particularly, we will be able to revert to international expansion starting in the second half of this year and that capacity starts coming in online. On agave prices?
Paolo Marchesini: On the agave prices, we are expecting still a minor reduction versus year ago, last year the average price was at about 27 pesos per kilo. So, you don't -- for this year, we're expecting to come down a little bit, but not in a meaningful manner. We're not seeing a huge drop in prices on 1, 2, 3 pesos possible, but not more than that.
Bob Kunze-Concewitz: There is an exacerbated pace of innovation of the market with new brands coming in and which are currently sucking up what would have been available in terms of additional agave in normal times.
Fintan Ryan: As you just with regards to your expansion plans within China, have they gone broadly in terms of your -- what you're speaking to back in 2021 and your ambitions to the markets in 2022, I will also -- how has trading been over the Chinese New Year period?
Bob Kunze-Concewitz: Our ambitions in China haven't changed, but clearly, execution has become more challenging with the zero COVID policy. Because as soon as a few patients pop up in a city gets shut down for a few weeks. That not only has an impact on consumption overall, but clearly creates havoc events planning, promotional, and activational. Having then said that we're continuing to go triple digit across the key brands, so we feel good about it. Having said that, though, if it were a normal situation from a, let's say COVID perspective, clearly, we would be trending even stronger.
Fintan Ryan: Got you. Thank you.
Operator: The next question is from Alessandro Tortora with Mediobanca. Please go ahead.
Alessandro: Good afternoon to everybody. You've answered two questions for me maybe the first one is related to the cyclicals utility pricing policy. Disease. Let's say policy widespread across the brand portfolio, for instance, you have, let's say, fast track on the grew up . The second question is a follow-up bonus pool on now, which I think is for people officially joined the league of priority team for you. Can you clarify the capacity expansion which should tripolar  of the existing production capacity us pull on? And the last question is on the SG&A side, if I understood well, in the last part of the year basically you had some another carrying incentives, on this liner. I would like to understand, if this is correct or not thanks.
Bob Kunze-Concewitz: Let me take the first two. I mean, I am not sure I understood what your question was with regard to pricing policy. I can only reiterate that clearly across the portfolio, we focus much more on pricing on our proprietary brands, on the aperitifs, as well as on aged brown spirits brands. So that is if you want the policy and the reality of things. With regards to escrow and you might have more of a crystal ball than me because you're already seeing it as a global priority, we're still seeing it as a regional priority and the reason for that is not the potential of the brand, the potential of the brand is clearly global, no question about that but as I highlighted earlier, currently, we are constrained from a production standpoint, from a distillation standpoint.  And the new capacity will still start coming online in the second half of this year. So, we will be able to start expanding the brand in more markets were actually even supply international markets on other product which they're currently requesting, so no question about that. And we do not disclose the capacity of our different distilleries are. And clearly -- there's been a huge change over these 10 years, the size, the scope, and the capabilities of our distillery. I mean, it's a completely different production facility compared to what we started with 10 years ago.
Alessandro: Thank you. 
Paolo Marchesini: SG&A and all the 2021 has a low because of SG&A has to be seen as the base project. It's a trend going forward, although if you look in isolation, the fourth quarter of the year and you compare it to the first quarter of last year that are going on some distortions that are like on one end in 2020 due to the pandemic and the flow performance of the business incentive scheme. The incentive plans have been negatively impacted and therefore, you all the approvals where artificially low, on the other end this year, we're in an opposite position growing very stronger. This performance is leading to making higher accruals. This is true for yearly bonuses, but also for long-term bonuses, were basically every year given our long-term policies, the checkup over those boxes is based on visage projection of the business.  So yes, we have a set a very adverse fourth quarter comparison versus the first quarter over a year ago. As looking into 2020, we confirm the overall pace is the solid base to project future expectations.
Alessandro: Okay. Thanks.
Operator: The next question is from Paola Carboni with Equita, please go ahead. Ms. Carboni Just withdrew her question, there are no more questions registered at this time.
Bob Kunze-Concewitz: Okay. Well, thank you very much for joining us. We appreciate the interest, and we will continue to maximize our sales and go back to building the business. Talk to you soon. Thank you. Bye-bye.
Paolo Marchesini: Bye-bye.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones.